Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time I would like to welcome everyone to the Noble Corporation, first quarter 2010 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers prepared remarks there will be a question-and-answer period. (Operator Instructions) I would now like to introduce Mr. Lee Ahlstrom, Vice President of Investor Relations and Planning. Mr. Ahlstrom, you may begin your conference.
Lee Ahlstrom: Thank you Regina, and welcome everyone to Noble Corps first quarter 2010 earnings call. Before we begin, I’d like to remind everyone that any statements we make today about our plans, expectations, estimates, predictions or similar expressions for the future, including those concerning financial performance, operating results, spending guidance and the drilling business, are forward-looking statements and are subject to risks and uncertainties. Our filings with the U.S. Securities and Exchange Commission, which are posted on our website discuss the risks and uncertainties in our business and the industry, and the various factors that could keep outcomes of any forward-looking statements from being realized. Our actual results could differ materially from our expectations. We have included detailed balance sheets and income and cash flow statements with our earnings news release. Also, note that we may use non-GAAP financial measures in the call today. If we do, you will find the required supplemental disclosure for these measures, including the most directly comparable GAAP measure on our website and an associated reconciliation on the website. Now, I’ll turn the call over to David Williams, our Chairman, President and Chief Executive.
David Williams: Our prepared remarks will be brief today. I’ll align more time for some Q-and-A activity. After my opening remarks, Tom Mitchell our CFO will review the financials and update guidance for 2010. Then Roger Hunt, Senior Vice President of Marketing and Contracts will update you on the general market conditions, and after that we’ll take some questions. I believe we put up another fine quarter in an environment that continues to be somewhat challenging. With oil prices in the 80 plus range we feel good about where we are, and we remain optimistic about the phase of tendering and bidding activity, particularly on the jack-up front. Having said that, a recovery is never fast enough to suite drillers or investors, and we continue to ratchet back our calls. Deferring or canceling optional projects optional projects around the fleet, all those might have been planned against specific jobs, which for one reason or another either have been delayed or in some case we just didn’t get them. We are working hard to run the company lean, without sacrificing the operational conditions of our units. This is primarily what led to our out performance during the quarter, and as Tom runs through the financials you can expect us to [Inaudible] full year costs a little bit lower and provide a tighter band for you. During the quarter we announced the commenced of a five-year contract of Noble Dave Beard at Petrobras. Starting the rig construction in China and complicating it in Brazil is quite a long journey, but we are pleased to say that we are very happy with the finished product, and the quality of workmanship delivered, both in China and Brazil, and that quality will be awarded for us for many years to come. Today the rigs are on location and operating normally. We continue to push hardcore commencement of operations on the Noble Danny Adkins, while the year has been on location holding station outside of Louisiana since arriving at the Gulf. We continue to experience equipment issues on the rig board. Everyone is working harder and we are clearly disappointed at the pace of progress; however, we are doing everything necessarily to work with our customers and our suppliers, to ensure the rig is safe, officially when it does go to work. Today the work on the drill force is nearing completion with only a few punch list items remaining. Today we are mobilizing to our test location to prepare around the stack. At this point we think we should go to work in three or four weeks. Our final two new builds, the Noble Jim day and Noble Globetrotter are both proceeding very well. They are scheduled to leave Singapore on heavy lift ship around the end of May, where they’ll travel to the U.S., Gulf of Mexico, where it’s scheduled to commence operations in September. The good news of the Adkins is that we and our suppliers have been able to apply lessons learned on the day, and we should see a smooth and more efficient piece of commissioning process the second time we ran on the sister rig of the Noble Jim Day. Construction on the Globetrotter is slightly ahead of schedule, with the STX [ph] yard in China. Well, they’ve actually laid the first gearbox about a month early. We feel very good about the products being made there and with the other major suppliers on that project. Let’s talk just a minute about Mexico. As you know Pemex is currently in a tender process and has published a bid spec that requires some recently built act of 2000. We believe the irrational, while Noble in nature is a little bit impractical. As far as the market's reaction, we have no reason to believe that our future in Mexico is in jeopardy. Since we are in an active tender, we will go into great detail about why we are so confident; however we continue to believe that Pemex needs jack-up rigs. We have every reason to believe that we will continue to operate in Mexico well into the future. Roger will provide you with a little bit more detail on this particular subject. Now if I could, let me talk just a bit about safety. I would like to congratulate our Gulf of Mexico, our Gulf Coast division and the crew of the Noble Clyde Boudreaux winning the International Safe Award for this Lake Jackson District. This is an outstanding achievement considering the number of rigs operating in that region. We are proud of this accomplishment. We continue to believe that our focus on operational excellency, corresponding principles of health, environmental and safety responsibility are one of the things that sets Noble apart. So we are very proud of those guys in the Gulf Coast division and on the Clyde Boudreaux. On another note, we have renamed two of our units in our jack-up fleet and are pleased to honor two extraordinary individuals. The Noble Alan Hay honors our very own Alan Hay. He has been an employee with the company since 1977 and has made significant contributions over his many years of service in just about every international location you can imagine and in some you probably can’t. The Noble Joe Bell, honors Joe Bell who is the founder of Freight and Engineering, and was one of the great pioneering entrepreneurs of the drilling business. We are very proud to honor their careers, their service and their loyalty. You will be able to get the details of the time of these particular rig name changes, I hope by next week's sales report. Finally, on April 1 we began our 90th year in this business. Noble has a long and rich heritage of innovation, entrepreneurship, operational excellence and delivering value to both customers and shareholders. Those of us that work here every day understand what a true, unique enterprise this is, and we know that we are only stewards for a short time in this outstanding legacy. We will continue to strive to meet the highest spectatorship by those who came before us to the benefit of our shareholders, customer and employees. With that, I will turn it over to Tom.
Thomas Mitchell: Thank you David. Yesterday afternoon we reported first quarter net income of $371 million or $1.43 for our fully diluted share, and total revenues of $841 million. These figures are down from the fourth quarter of 2009 when net income was $442 million or $1.72 per share on total revenues of $940 million. The primary differences between quarters were lower drilling costs, as well as lower drilling revenues. In the first quarter, we reported drilling revenues of $809 million; that compares to $894 million in the fourth quarter. The differences can largely be classified into four broad categories. Approximately a third of the difference is explained by off-hire [ph] time on the Noble Danny Adkins, which earned revenues during its mobilization period of mid October to mid January, but has been at zero rate since then, as we make final contract preparations. Lower day rates between quarters account for another $220 million. Seven jack-ups in Mexico, three jack-ups in West Africa and four in the North Sea, reprice lower by an average of 19%. The Noble Paul model also repriced lower on its extension with Marathon. Offsetting this were day rate increases on two floaters in Brazil, and a full quarter at a day rate of $605,000 on the Noble Clyde Boudreaux. The third main category accounting for about $19 million was higher shipyard and downtime days; that was primarily in Brazil; and finally, the two fewer calendar days in the quarter had a negative $19 million impact. Contract drilling service costs were a positive story coming in at $254 million compared to $264 in the fourth quarter. This is about $30 million below the low-end of the guidance we gave on the last call, and they have caught some of you by surprise. As David mentioned in his remarks, the environment continues to be challenging and as a result we have been slow to ramp up some of our spending. This will result in lowering the guidance as some of the spend is pushed either to 2010 or limited at it outright. For the quarter, the main drivers of the lower costs versus our guidance were lower spending on major repair and maintenance items, but the late start date for the Beard, along with lower start-up costs and favorable foreign exchange rate fluctuations. The rest of the difference is spread across several categories. Depreciation at $116 million was in the range we provided, while SG&A at $22 million was around the bottom of the range we’ve provided. Our effective tax rate during the quarter was 13%, which is below the 15.5% we guided to in our last call. The majority of the difference is due to some additional benefits we were able to revise, standing from the worldwide restructuring that we discussed back in the third quarter of 2009. That is going to have a lasting impact throughout the year, and the remained of the delta is attributable to the revenue mix. During the quarter we announced that shareholders will have the opportunity to vote, on both an increase in the regular return of capital, as well as a special return on capital at the upcoming annual general meeting. In addition, we continue the buy back program, purchasing $2.1 million shares at a total cost of $89 million, with an average price of $42.21. We have 10.8 million shares remaining under the board authorization. Including the 12 million from our reduction in capital in February, we returned 100 million to shareholders in the first quarter. Assuming that shareholders approved the increase in our regular return of capital, as well as the special, we’ll be positioned to return close to an additional 200 million to share holders this year, not including potential buyback activity for the rest of the year. Capital spending during the quarter was $339 million, and cash at the end of the quarter was $848 million. Moving on to guidance, we are revising drilling costs downwards and tightening the range. In addition, we have lowered effect of tax rate. We now expect full year 2010 contract drilling services cost to be in a range from $1.05 billion to $1.15 billion, which represents considerable tightening towards the lower end of the range. The reduction is driven by a delay in the commencement of the new builds, revised currency exchange rate expectations, and a view that inflationary pressures may not be as severe as expected, as well as the efforts that David mentioned in his comments. For the second quarter, you can expect contract drilling service cost to come in between $275 million and $285 million. Our estimate for the full year DDNA will remain in the range of $490 million to $510 million, and SG&A is expected to continue to be in a range of $90 million to $100 million, with the cost spread about evenly across the quarters. Our affective tax rate is now expected to be between 12% and 13%, and that excludes any discrete items, which we are unable to forecast. Finally, capital expenditures are still expected to be just under $1 billion for the year. Now, that concludes my remarks and I will turn it over to Roger to talk about the market.
Roger Hunt: Thank you Tom and good morning. Lets begin this morning with the jack-up market segment. Overall we believe the climate is positive, with rates holding fairly steady in most regions, and utilizations is flat to slightly higher than in the fourth quarter 2009. Specifically the North Sea, West Africa, South East Asia, have all seen flat to positive trends and there have been some nice fixtures of rates as high as $200,000 in the North Sea, and $140,000 per day in South East Asia. Even in the Gulf of Mexico where gas prices dropped from over 550 per mcf to below $4 per mcf by the end of the first quarter, utilization and day rates are higher. We spoke on the last call about a day rate range for premium jack-ups in the 85,000 to 115,000 range, excluding accommodation jobs. During the past quarter we saw some fixtures in two competitive markets; the Middle East and India were a bit softer. As a result, the lower end of the range has fallen into the lower 60’s, while the top end of the range is still generally around 110,000 to 115,000. As I mentioned, there have been repirate [ph] signs. Petrol pricing in India was a set of attractive three-year opportunities in combination with bids from local contractors, and in the Middle East we have half a dozen cold stack rigs and close to 30 warm or hot stack rigs, or rigs in the yards undergoing repairs. There are many rigs seeking each available opportunity. However, even the rates of decline slide in both of these areas. Costs at least at Noble are well under control and we continue to enjoy good cash flow from the jobs we are winning. There's also a question of new supply entering the jack-up segment. By our account, there is still about 55 rigs to be delivered between now and 2012, not including a handful of where construction appears to be on indefinite hold. The fact that we are continuing to see overall utilization hold steady, and increase of the margin, even all those rigs come to market as positive. It is interesting to note that the newer rigs are generally receiving a premium in terms of day rates. We have some positive news to report for our fleet beginning with Mexico. Six of our ten units scheduled to come off contract this year in Mexico, are working under contract extensions with the settlements expected to be signed in the next day or two. We have reported four signed extensions on the last fleet status. Since then we’ve been able to finalize the third and final extension on the Leonard Jones from April 1 through June 22, at $105,500 to date. We finalized the second extension on the John Sandifer from April 9 through June 17, at a rate of $85.5 today, and signed an initial extension on the Johnny Hawkman [ph] from April 15 through July 25 at a rate of $85.5. The rig we expect to sign an extension on is the Roy Butler for the period April 24 through July 18. The rate is expected to be around $60,000. On the rigs currently working under extensions, the Eddie Paul, Leonard Jones, Lewis Dugger, Sam Noble and Roy Butler will all have received their maximum extensions. We expect that Pemex will use the vehicle of a direct assignment to ensure there are no gaps in their program during this round of tenders. I will make a couple of additional comments about Mexico and the current two tenders. The tenders cover five rigs, and on three of the five it appears that Pemex will hold for the tenure rates restriction, meaning that we will not be able to anticipate. On the remaining two opportunities, it’s not clear if the age restriction will remain. While the age restriction is disappointing; bear in mind that this is only one or two tenders. Noble has a long and successful history in Mexico. Since 2001 we’ve logged over 5.3 million man-hours and only had three LTIs and 11 reportables. We also performed an amazing 99% uptime and have spent $325 million upgrading our fleet. We continue to believe that Pemex will need additional jack-ups, and that our rigs will have to continue to work in. In the North Sea, the Lynda Bossler returned to work taking out utilization to 100% through most of the summer. In Nigeria, the Percy Johns joined the Ed Noble and are continuing to work Exem Noble [ph] on a well-to-well basis at 85,000 per day. While a customer charges to get the forwarding tender wrapped up, we can potently see news on that by the end of the second quarter. Also the Ed Noble will continue to work for Amnie [ph] until mid May. In the Middle East, the Kenneth Delaney and the Gene Rosser will continue working in Qatar until mid May and the end of May respectively. Also the newly renamed Noble Joe Beall secured a monolog for 80 days of accommodation work that began on April 14 at a rate of 52,500. Finally in India, the Charlie Yester and the Kenneth Delaney have secured three year tem opportunities with ONGC though our partners. We expect to finalize the contract for these rigs, which will earn about 50,000 a day by charter fee and put them to work with the Yester commencing around mid May, and the Delany around October 1, possibly sooner. In the deep water, we only saw two fixtures across various water dams, but dialogues are ongoing. Also, deep water rates have proved to be in the low to mid 400’s, while deep water rates like the Paul Romano appear to be in the high 200’s to the lower 300’s. On globetrotter, we continue to engage in discussions on several potential opportunities. We’ll conclude there and leave further discussion for the Q-and-A.
David Williams: Okay, thank you Roger. We are going to open things up for Q-and-A now. I would like to remind you of our rule as a courtesy to all participants on the call, lets stick with one question and one follow-up and then we’ll move onto the next questioner. Regina, go ahead please.
Operator: (Operator Instructions) Our first question comes from the line of Dan Boyd with Goldman Sachs.
Dan Boyd - Goldman Sachs: Hi, good morning guys. And Lee, I do have full questions. The first one related to just Mexico. Can you help us understand why Mexico wants rigs built after 2000? Are there any different capabilities between those and the rigs that Noble has down there, and then what would you anticipate the rate difference to be if they wanted to attract rigs that met that qualification from other regions, relative to what you could offer?
David Williams: Dan, we appreciate you following the one question rule, and I’ll let Roger take that.
Roger Hunt : The difference in specification I think was your first question. Pemex has two young rigs in their fleet. These rigs have littler larger deck loads, storage capacities, and they have a view that I think that they yield interesting productivity gains, and one of the issues in Mexico is the lack of bunks and support. So I think they are taking that view verses the market and saying “Gee, I wonder if we can get more of these new rigs”. Now to the second bit about rate differentials and cost differentials. As I mentioned, our up-time is 99%, which is probably the best productivity in the region. I think its only though this bid exercise will I learn what that prices differential maybe and then be able to do the calculation if in today's market is it going to be attractive to them to secure the rigs. So I think the jury is out on the second piece of your question.
Dan Boyd - Goldman Sachs: But it sounds like what your saying is that it has really no difference in the rig capability specification or up-time. Its related to something unrelated which is the problem they are trying to solve, so.
Roger Hunt : Well its not for us to speak on behalf of Pemex, but as I said, they have some new rigs and they have a view, that the new equipment might generate some cost savings to them that’s not available to all the rigs, but we’ve invested over $300 million in our rigs, and we have a view that at the end of day when they see price differentials, that their conclusion might be that “Yes, we want to upgrade our fleet” but it probably its going to over a longer time for us than a shorter one.
Dan Boyd - Goldman Sachs: Okay thanks.
Operator: Our next question comes from the line of Kurt Hallead with RBC Capital Market.
Kurt Hallead - RBC Capital Market: Just maybe a follow on to that question is, so as you guys are I think very good at doing the alternative plan for Mexico. As they upgrade there rig fleet to newer rigs, what are the opportunities for Noble to take rigs out of Mexico, where there’s a list of two or three opportunities. Do you think that’s something that you are going to have to address this year?
David Williams: Well Kurt let me just say that we always are bidding rigs into markets where we are, and we are always bidding rigs out of market where we are. The last two rigs we took into Mexico, we took in with West Africa, all buys were still fairly robust. We took to West Africa, because that market was in the ditch [ph] over political issues, not over product price. I would think, you could certainly have some rights to go back there. We’ve actually got a number of opportunities for our rigs currently in Mexico and other markets that we are either pursuing or actually have a bid. So as Roger pointed out, the number of markets around the world, that inspite of the new bill delivery protocol, are actually holding around or are in better shape now than they were previously. So if we had to take them all out at 12 tomorrow, that would be exciting. That’s not the way it’s going to work out. If it works out, then we have to take any of them out. It looks today like Pemex is working very diligently to fill any potential gaps that we may have between our contract, our current schedule contract termination and their tender process. So we haven’t missed a day yet, and if it keeps on like this, we may not miss a day, but having said that, we are actively bidding rigs in the other markets where we can bid rigs. So it’s a process, not a bid. We have been doing this a long time. We will find opportunities for them.
Kurt Hallead - RBC Capital Market: Okay, my second question then is on the day rates for jack-ups and ultra deepwater, deepwater. Do you expect to see continued slippage in the band, maybe at the lower end, but you expect to see slippage in the band for rates for jack-ups and for ultra deepwater and deepwater rigs?
David Williams: Roger pointed out very succinctly that the band is holding its own, and actually there's been some pictures above the band, but the real deterioration I guess is an ugly word, but the slippage at the bottom end of the range has been against some very nice term fixtures, and some very nice term contract. I mean if you could take an older rig and put it to bed for three years in this market at a rate that delivers a good margin, that’s not a bad a thing to do. So that’s kind of what you see in the market. So I would say that against term opportunities you may see some more aggressive bidding, short-term opportunities. I would expect it to hold it’s own, and we’re kind of settled into this band now for almost a year really. We have out liners, occasional with the movement above and beyond. So the band is holding it’s own I think on jack-up’s.
Kurt Hallead - RBC Capital Market: Okay, thanks.
David Williams: Sure.
Operator: Our next question comes from the line of Joe Hill with Tudor Pickering, Holt.
Joe Hill - Tudor Pickering, Holt: Good morning.
David Williams: Good morning Joe.
Joe Hill - Tudor Pickering, Holt: Dave, given what you just said, do you think we’re seeing the market begin to bifurcate in terms of rates, new equipment versus old equipment in the jack-up space.
David Williams: Joe in some cases possibly, clearly there have been some fixtures of some higher spec opportunities and some very nice rates, that old equipment or lesser capable equipment might not be able to compete on. It’s not an unusual scenario for market evolution. We’ve seen in the past, bifurcation for different specifications of 350 foot rigs verses 250 foot rigs or peddle like rigs versus mat rigs or deep water verses ultra deep water. So, I mean there is all kinds of specification differences that might lead to a weaker market. Some level of bifurcation for one region to the next. In some cases, yes I think your seeing some bifurcation, not across the board, I don’t think.
Joe Hill - Tudor Pickering, Holt: Okay, and I’ll ask a quick follow up to that. Given that we might be seeing this bifurcation between rates and equipment, and that all of the incumbent contractors have lots of cash on hand, and we’ve got 55 jack-up’s coming to market over the next three years or so. Do you foresee a wave of accusations and spec equipment from the incumbents at this point?
David Williams: My answer really hasn’t changed Joe from the last time we asked that question, and the answer to that is, we would love a shot of some of those rigs, not at $175 million or $185 million a copy. $80 oil gives all these people that have a spec he only hope, and to-date the bid asked is still too wide; although I think we are seeing some movement on some of the potential sales or seller sides, we are seeing some movement, but not enough. Again, when you buy a jack-up, normally you know very well if you buy once you got a contract and there have been what, two out there for sale of contracts, but normally you see one that’s for sale, its pure spec, and so do you want to go out and pay $175 million or $180 million for a new build jack-up, because you maybe able to get a 10% premium before it opens for market. Its still tough in that part with that level.
Joe Hill - Tudor Pickering, Holt: Fare enough. Thanks Dave.
Roger Hunt : I was just going to add a point. The building course have just -- addressing this bifurcation to assume that just because it is a new rig, it might earn a premium. I think when you look into the details as to some of the nicer rig fixtures, it’s probably being driven by a particular specification.
Joe Hill - Tudor Pickering, Holt: Thanks for the color Roger.
Operator: Our next question comes from the line of Jim Crandell with Barclay.
Jim Crandell - Barclay: Good morning.
Roger Hunt : Hi, Jim how are you.
Jim Crandell - Barclay: Good, thank you. Roger, if I recall you said a couple of things last time, and I don’t believe you commented on them in your remarks this time, and I was wondering if you could give us an update and your thoughts. One is, I believe that you said you thought that over the next few months you would see announcements of major operators, 2011 deep water and ultra deep water programs, and that could lead to a change in psychology in the ultra deep water markets. Secondly, I believe you said you could see Brazil coming in and taking rigs off the market, and that would contribute to an improvement as well. Could you update your thoughts on both of those?
Roger Hunt : Yes, I think what we said was in the deep water market, there’s a lot of conversations going on about additional programs that we kind of used. Because of the visible supple out there over the next 24 months that operators were postponing commitments because they could. They just didn’t need to have the long lead times. There has been a couple of announcements I think in the last period in terms of the project in Angola where there’s been one award and [Inaudible]. Jim I don’t see much change in that behavior. We are still engaged in quality discussions on our unit, and there is a lot of interest in it. On that Brazil case, that’s a story yet to unfold. As you know, the “28 rig tender” is still large. There has been changes in whether the allocation of rigs between contractor rigs and Petrobras rigs to that account, and that bid will be processed I believe in my, so I think we get to see how Brazil unfolds, but clearly demand in the ultra deep water will have a lot to do with Brazil’s intake. So I do not know how it is going to play out.
Jim Crandell - Barclay: You see Brazil coming in and trying to take some capacity off the market aside from their new build program?
Roger Hunt : Well, the new build program is going to have a premium cost associated with it, and its going to be significant and recent movement maybe in and iron ore and steel prices will just exacerbate that situation. So cost is going to be a significant order of magnitude more than you can build outside Brazil. So it would have to be a strong man that makes this decision to build these things at such a hard premium, and I’m talking about the cost, ultimate cost of Brazil. So one might argue that when they get to see those rates as a consequence of high capital costs, there may be an argument that “Gosh, we can go to the outside market and satisfy this need.”
Jim Crandell - Barclay: You are referring to not building new rigs outside of Brazil, but actually looking at rigs that can have 2010 delivery dates and bring some of that out of capacity.
David Williams: Jim, there’s two parts of it. One is, as Roger’s talking about the new build protocols that they are talking about, I think the cost is going to be interesting to us. We still can’t quantify what the cost of build in Brazil is going to be, but if they do decide to build, lets say five, seven, eight years out before they get the first rig delivered, or say four or five if they are really good, or probably five or six if they are what we expect. I think in the meantime, they will have to go to the market and take additional capacity. So, I don’t think they have any choice based on the level of activity that they are proposing to try to get started. I don’t think they have any choice to go to market and take some additional capacity.
Jim Crandell - Barclay: Got it. Thank you.
Operator: Our next question comes from the line of Robin Shoemaker with Citi.
Robin Shoemaker – Citi: Thank you. Roger, just following up here on the Gulf of Mexico EVA type rigs, which have availability in 2011, you mentioned that you have ongoing discussions. Do you feel like there is a view on the part of the customer that perhaps by waiting we might see another down tick in the rates for that category of rig, below the low to mid 400s rate that I think you indicated or would they kind of realize that perhaps that is the flow on the market, and move more quickly to secure the kind of rig capacity they need for 2011.
Roger Hunt : Robin, you might have misunderstood my remarks. I think the EVA rigs are capable of working up to water depths of 5000 feet and a little bit beyond, but the current market is pricing at around 300. We have one of those units coming up mid-year’ish of Q3 availability. We’ve got conversations going and we are quite confident the rigs will continue to be used in the Gulf of Mexico. So, I think that’s probably the pricing outlook we got for that particulate unit.
Robin Shoemaker – Citi: Okay, and so in terms if the discussions you are having, do you believe that there is a good change that the rigs will stay with current the operators, and how far before a contract expiration do you really need to lock in a new contract from the customers stand point, in other words the planning cycle. Do you think that the multi year kind of contract is likely to be the norm in this next round?
Roger Hunt : I think that all speaks to a particular operators philosophy. I think now the lead times are going to be much shorter, but they got to prosecute programs, so it could be in the last stage of the contract that you will be having these discussions. My comment is that we are quite confident that these units will see utility at whatever the market price is at the time.
Robin Shoemaker – Citi: Is the multi year contract likely to be the preferred mode of contracting?
Roger Hunt : It’s tough to answer. If we were an operator, one might argue that “Gee, this is an opportune time to go along,” and you see evidence of that in other sectors, to what’s happening in the jack-up’s. So you may see an operator come up with multi yield. It could just as likely be program specific and be much shorter.
Robin Shoemaker – Citi: Okay, thank you.
Operator: Our next question comes from the line of Angie Sedita with UBS.
Angie Sedita – UBS: Good morning guys. David you made a remark in the press release that the contracting environment remains challenging. Can you go into that a little bit, and with the deliveries that we are seeing in the jack-up later in Q3, Q4, and of course the deliveries in the deep water market. Where is your concern for late 2010, 2011 or is there some potential slippage in the bottom end of that range? Is that mid-water is that potently a little bit more than what we had in the jack-up as far as slippage and rates, where is your concerns when you look forward on the new deliveries?
David Williams:
,: But compared to where we’ve been for the last five years, as Roger has pointed out, a lot of these things are going to the last minute. We are not seeing operators step up and commit for programs that we know they have in 2011, 2012 and beyond, because they don’t have to. They have the work and they are not in a box where they feel like that the market is such that they won’t have an opportunity to get beyond what they want, and so they focus on other things. So they are working on G&G activity or whatever they are doing, and not necessarily focused on, “O my God, where am I going to get a rig for that program to start in 18 months.” So our lead times are getting a little shorter, our investors are getting a little more nervous. What's happened to our stock since this bid in Mexico came out is, if it weren’t so important it’ll be comical, because we hadn’t missed a day, and I don’t think we are going to miss a day, but the market is in absolute panic over stuff they read before anything actually materializes. So the overall environment from a relative perspective of where we were two years ago, is there is a lot more noise and your contract and your future is a little more uncertain, but if you take that and compare with most of your career, we are in great shape. We are still sitting on a heavy backlog, we are running this fleet flat out, we are still delivering the margins, we are still finding work at margins that we like. So I guess that’s where the comment comes from. We are not going to be able to stay in our 70% margin we had last year, we may not be able to do it as rates declined around the world, and we are seeing decline there, we are seeing some slack in deepwater; we are seeing slack in jack-ups. I feel better about the jack-up business, because I think it's already come down and starting to come back up. The floater business, I don’t know if it's come all the way down here. It appears to stabilize where it is and that makes us feel good but again, operators are in a panic to pick up rigs, for products we know they have in 2011, 12 yet. So, we are kind of in this, in between the evolution of the cycles and how it plays out depends largely on our customers. Interestingly, oil is at $80 something a barrel and that ought to tell you that things look good. So it’s a weird market right now, and is there a one market segment that worried me right now, no. Based on the level of bid activity that we got around the world, for jack-ups and the dialogues we have going on for floaters, there is not a segment of the business or a part of the world that scares me. Are we potentially are going to suffer some reductions in day rates where we have some potential additional down time between one contract and that’s likely, but there is work out there and so it is a different environment, but it is not a scary place to be.
Angie Sedita – UBS: Alright, that’s fair enough. As you mentioned, things are better than they have been in the times past and the jack-up market is showing some nice improvement, so with the deliveries later this year, you think we can stay where we are as far as the general band on day rates and utilization without some further pressures at the margin.
David Williams: You know Angie, I think we can. I mean so far we are now almost four months into this year. A number of these rigs that coming out are coming out from specific markets, some are going to be delayed. The level of activity that were seen in different part of the world and the level of utilization, yes I think we can atleast hold around from a utilization perspectives. We said all along, we thought this year would kind of be a flat utilization time, with hopefully some increases towards the end of the year, that might lead to a little bit better pricing power late this year and more likely in the years ahead. I do not see a change in that view yet. I am not at all uncomfortable with the number of rigs we expect to come out this year.
Angie Sedita – UBS: And then as you get things moving, is it the passage of time? Oil prices are just getting beyond these deliveries later this year, and going into 2011 both for jack-ups and deep water.
David Williams: I think it’s a combination of the two. The deep water market is actually -- the petrobas story, while we are still intimately involved in the ship yard, it’s getting a little stale in the community. I don’t know what the hell is going to happen down there frankly. I mean, every time they keep modifying their program, but which way they go is going to be potentially material to how the world used these stocks and how utilization plays out for us over the next 10 years. But that aside, I mean there is a lot of work out there in deep water and we have got a multitude of opportunities in front of us for auto rigs and other rigs, so there’s a lot of bid activity. There’s opportunities out there.
Angie Sedita – UBS: Alright, thanks David.
David Williams : Sure Angie.
Operator: Our next question comes from the line of Arun Jayaram with Credit Suisse.
Arun Jayaram - Credit Suisse: Good morning. Roger I was wondering if you can give us some more details behind the two Mexico tenders for five rigs. Are those incremental needs, are there incumbents behind those, and what the terms are for those tenders in terms of length?
Roger Hunt: Arun, good morning. Our information would have us conclude that the total rig count, jack-up count in Mexico is some 33 rigs, I think it is something like that. That’s the medium to long-term plan, and so to clarify these marginal replacement rigs, I think its all actually about what happens on this tender, so there’s specific tons. There’s five rigs required on this one and the lengths of the sums range from a short of 254 days, to a long off 1039 days. But most of them 200, 290, 250, 460 and so they vary.
Arun Jayaram - Credit Suisse: Okay, for so some of the shorter duration contracts, it seems it will be difficult to track the lot of rigs from other markets given the mobilization cost, is that fair.
Roger Hunt: I don’t how people are going to behave on this project. There has been some change in the start dates out to Q3, Q4, which might have been about Pemex being approached by contractors, that’s Angie point about no deliveries later in the year. So there might be people saying “Give me an opportunity to bid my new rig, but the problem is it’s being delivered out in the far East” and can’t get it to you until later in the year, but its going to be all about how they play is and how they behave in the actual bid -- your source is logical though.
Arun Jayaram - Credit Suisse: But net-net it seems like based on your information, that Pemex is likely to hold kind of flat in the kind of Jacob rig count level.
Roger Hunt: Flat, but moderate increases over time.
Arun Jayaram - Credit Suisse: Okay the second question. Obviously we have seen a pretty nice improvement in oil prices to $80 to $85, seeing some improvement in jack-up activity levels, yet the deep water new contract activity outside of Petrobras has been almost radio silent. What are your thoughts, and why do you think that we haven’t seen more new contract activity in the deep water, and what’s your outlook. Are you seeing some tenders develop in the deep water.
Roger Hunt : Yes, we spoke to this a couple of time. There is quiet a lot of conversation going on about projects. I think it’s as simple as when operators look at the availability over the next 24 months. They don’t have to move quickly, so conversations are going to be long and it’s going to be a waiting. There is solid programs out that are not in the bid stage.
Arun Jayaram - Credit Suisse: It seems like this may be taking more time and maybe more activity perhaps next year then we are seeing near term.
Roger Hunt : That’s a fair comment.
Arun Jayaram - Credit Suisse: Okay, alright thanks a lot. Good results guys.
Roger Hunt : Having said that, I think there’s six, seven contracted rigs this year. I think our view would be they’d probably go home, they’ll all homes.
Arun Jayaram - Credit Suisse: Okay, thanks a lot good luck avoiding that volcano ash on the way home.
Operator: Our next question comes from the line of Jud Bailey with Jeffries & Co.
Jud Bailey - Jeffries & Co.: Thank you. Good morning. A question for Roger on the jack-up markets, specifically the one market that seems to be lagging from a demand standpoint is the Middle East. We’ve seen, as you noted some rates slip a little bit there. Can you may be give us some color on how you see demand unfolding there over the second half of 2010, and just highlight any upcoming worker programs that you guys are currently seeing.
Roger Hunt : Utilization in the Middle East I think is above and around the mid-70% range, and I haven’t seen much change in that. If you look quarter-to-quarter actually, Q4 to Q3 last year utilization was down. If you look at the last 90 days it has been flat. So it has bottomed up. However rates have sunk a little to the next months let’s say. The good news is, I think there has been something like seven awards over the last 45 days in the Middle East. So that’s going to play into Q2 utilization, for AMCO still has a three weeks pending. Quite a bit of talk about as soon as they get that process they are going to go out to bid for another quantity of rigs, anywhere from three to five. I think Iran still has unsatisfied demands, so that’s gone to work it’s way into the system. So arguably, there might be a little up-tick in the Middle East over the next quarter or two.
Jud Bailey - Jeffries & Co.: Okay. My follow-up is more of a bigger picture question. One thing we saw in the Gulf of Mexico recently, or in the last six months is, when the premium side of the business, the 350 ICs got tight and rates went up. The bottom half, the commodity rigs still had their rates move up, even though utilization was still well below 70%. If you look internationally right now, utilization and unavailability for 350 ICs and above seems to be getting tighter. If we were to see an increase in rates there, say 10,000, 20,000 a day, even though utilization for lower end rigs is lower, do you think we could still see a small increase in rates just by the fall pit, the high end jack-up business such to see an increase.
Roger Hunt : In answering that question you would have to keep in mind that the 55 rigs that are still coming into market are all probably 350 foot capable. So there’s still a lot of supply to be worked in before you might see any significant update. If you ask yes to predict rates, we would say ‘yes, rates are going up.’ Please tell all our customers that rates are going up.
Jud Bailey - Jeffries & Co.: Alright, thanks.
Roger Hunt : Thanks Jud. You don’t sound like you believe us Jud.
Jud Bailey - Jeffries & Co.: Not the answer I was looking for.
Operator: Our next question comes from the line Robert Mackenzie with FBR Capital Market.
Robert Mackenzie - FBR Capital Market: Good afternoon guys. I guess my question comes back to the jack-up rig market little bit and with the prospect for Pemex being flat to slightly up, can you go more around the world and maybe in a 9 to 12 months timeframe give us a feel for how much incremental demand you see from these operated programs, that they are just starting on a rush to commit to yet.
Roger Hunt : It is difficult to do. I think we just talked a little bit about areas, that to the last question the Middle East I think looks to have flattened out, and based on current awards, behavior in the last 45 days, and current tenders in-house, maybe a little uptick. I think India is going to be quiet active in tendering over the six months, but I don’t think it’s going to result in an absolute increase in rigs working. North Sea, we are fortunate right now running at 100%. I think the market is just a little bit sub 90%, and we look for that to stay as it is. West Africa, it’s running at about 60%, and depending on how you treat spec rigs, but we like to believe that there might be some up-tick there later in the year, but I wouldn’t hold by breadth, because a lot of that is about the operators ability to function, and I think everybody is just watching there now. South-East Asia seems to be heading quiet nicely. There is a lot of tender activity and that area will see an absolute increase in rig count.
Robert Mackenzie - FBR Capital Market: Alright thanks, that’s my one question.
Operator: Our next question comes from the line of Ian Macpherson with Simmons & Co.
Ian Macpherson - Simmons & Co.: Hi thank you; two quick ones. Great job as always, keeping the cost in-sinc with the market. Does the reduction in the full year cost outlook have any incremental stacking’s associated with your view for the jack-ups for the balance of the year, that you don’t have earlier in the year?
Roger Hunt : No.
Ian Macpherson - Simmons & Co.: Okay, and you made comments about I think about the jack-up utilization looking to be still I think sustainable here, even with some of the short term standing in Mexico, and West Africa and the Middle East. You still think that overall you can keep it around 80% over the balance of this year.
Roger Hunt : Well it appears so, yes. I mean based on what we think we see now, I mean yes, we’ve had some good fixtures in the Middle East, we talked about some things done in India. Mexico while we got a lot of exposure there, we are holding our own and Pemex is again very accurately working, and within the regime that they got to extend under adjusting contracts up to 20%. Our understanding is the way the process works, they have more latitude direct assigned, and they are acting as if they intend to do that with the contracts that don’t have available extensions under the contracts, so that they can direct assign and keep those rigs and running to meet the general process. Based on what is exactly what we would hope to see. So based on what we see now, it’s going to change the course, but in $80, $85 oil solves a lot of problems for lot of people. Pemex doesn’t necessarily have a profit motive. It needs to keep production up. That’s our biggest exposure, but it’s also the customer that we think is working the hardest to make sure that our rigs are good. So I don’t see any reason that we can’t maintain a high level utilization. We are fully booked in the North Sea right now, we got some exposure later in year, but we also got some dialogue. The reason West Africa looked they are losing up and we’re putting some back to work there, so yes, it doesn’t look at all scary to me.
David Williams : Just to follow up on that. I think there has been a view that because of the contracting procurement structure in Mexico, that when Nobles rigs finish their 20% expansions, that we would be released and sent to the beach. That has not occurred yet. We believe that Pemex has more flexibility now and operating outside the standard contract and extension provision, and it has to be, we’ll have this conversation 90 days from now, because we’ve got several rigs that are going to roll in the late May timeframe. We have a view that these rings will continue to be employed.
Ian Macpherson - Simmons & Co.: Okay thanks very much.
Roger Hunt : Thank you.
Operator: Our final question comes from the line of Paul McRae with Tower Bridge Advisors.
Paul McRae - Tower Bridge Advisors: Good morning. As the board addresses the potential return of $200 million or so to shareholders this year, will they debate the relative merits and shareholder enthusiasm for special dividends versus a possible increase in regular dividend payouts?
Roger Hunt : Paul, you have been around now a long time. You know our board debate everything seriously. So we have in front of the shareholders now an increase in the regular dividend from what was $0.04 a quarter to now $0.12 a quarter and taken up to $0.40 a year roughly. It will be denominated in Swiss francs, and then a special that arouse, a $0.52 that arouse the annual dividend up to a dollar, and we had a very vigorous debate about the regular dividend, the special dividend, and that vehicle has returned to capital shareholders at large. So, the board is very much engaged in the market, both the drilling market and the investor sentiment market. It is a good bit of face time with the board, so that he can pass on investor sentiment with the board. We have a very good board and we’ve had a good board for a long time. We have Gordon Hall who has an history as an analyst in banking. We’ve added John Marshal, who’s got history as a CEO of a drilling company. All of them are well aware of investor sentiment and different vehicles on the capital with the company I think, with the buy back program and the proposed dividend assuming the shareholders are prudent. There has actually been a fairly aggressive champion on capital shareholders. So the board is very much involved with that. The board has a great debate of it. They see the amount of cash we’re building just like you guys do, and the pros and cons and the benefits of one argument versus the other are debated vigorously.
Paul McRae - Tower Bridge Advisors: Thank you. That’s a good answer, and I am delighted to have those two gentlemen representing shareholder interest there. Good friends of mine and highly respected people.
Roger Hunt : Good. Thank you very much. I’ll pass it onto them.
Lee Ahlstrom: Alright. Thank you ladies and gentlemen and thank you Regina for operating and monitoring the call. We will sign off now and we will see you back in July for the second quarter results. Brook and I will be in the office the rest of the day to follow-up on any question you might have.
Operator: Ladies and gentlemen, this does conclude today’s conference. Thank you all for participating. You may all disconnect.